Operator: Good day, ladies and gentlemen, and welcome to The Toro Company's Third Quarter Earnings Conference Call. My name is Crystal and I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's conference, Heather Hille, Director of Investor Relations and External Communications for The Toro Company. Please proceed. Ms. Hille.
Heather Hille: Thank you and good morning. Our earnings release was issued this morning by Business Wire and a copy of the earnings release, including a reconciliation of non-GAAP financial measures can be found in the Investor Information section of our corporate website, thetorocompany.com. On our call today are Rick Olson, Chairman and Chief Executive Officer; and Renee Peterson, Vice President, Treasurer and Chief Financial Officer. We begin with our customary forward-looking statement policy, as well as information regarding non-GAAP measures. During this call, we will make forward-looking statements regarding our business and future financial and operating results. You all are aware of the inherent difficulties, risks and uncertainties in making predictive statements. Our earnings release, as well as our SEC filings detail some of the important risk factors that may cause our actual results to differ from those in our predictions. Please note that we do not have a duty to update our forward-looking statements. Our earnings release and this related call contain certain non-GAAP measures. Given the significance of Charles Machine Works and the closure of this acquisition on April 1, 2019, we have revised our definition of non-GAAP financial measures to exclude the impact of one-time cost associated with acquisitions, including transaction and non-recurring integration cost and one-time purchase accounting adjustments that are not operational in nature. Additionally, we have revised our definition of non-GAAP financial measures to exclude the impact of our new underground construction business strategies, including charges related to inventory write downs, anticipated inventory retail support activities and accelerated fixed asset depreciation. These revisions to our definition of non-GAAP financial measures are in addition to the previously excluded impact of the excess tax deduction for share-based compensation and US tax reform. The company believes these measures may be useful in performing meaningful comparisons of past and present operating results to understand the performance of its ongoing operations and how management views the business. Reconciliations of adjusted non-GAAP measures to reported GAAP financial measures are included in the schedule contained in our earnings release. Such non-GAAP measures should not be considered superior to, as a substitute for or as an alternative to, and should be considered in conjunction with the GAAP measures presented in our earnings release in this related call. With that, I will now turn the call over to Rick.
Rick Olson: Thank you, Heather. And good morning to all of our listeners. This morning, we are pleased to announce solid third quarter results. Net sales for the quarter increased 27.9% to $838.7 million. Third quarter net earnings per share were $0.56, while adjusted earnings per share rose to $0.83. Year-to-date, net sales increased to $2.4 billion with earnings of $2.18 per share and adjusted earnings of $2.52 per share. Our Professional segment sales grew 40% for the quarter, driven by strong demand for product from the Charles Machine Works acquisition, along with good showings from our snow and ice management, rental and specialty construction businesses. For the first nine months, professional sales grew 20%, while the residential business enjoyed a strong pre-season shipments of snow throwers in the quarter, poor weather conditions continued to challenge our turf products, resulting in a 11% decline in sales. However, high channel demand for snow products and strong sales of walk power mowers early in the year delivered a slight improvement in sales year-to-date. Overall, it was a good quarter. We continue to prudently manage expenditures, improve product availability, and invest in innovation. Additionally, we benefited from net price realization and efforts to improve supplier performance. Our team's dedication and consistent execution have us on track to deliver positive results for the year. Following a brief commentary on our businesses through the first nine months, Renee will discuss our financial and operating results in more detail. Our strong third quarter showing in the Professional segment was led by our construction businesses that capitalize on significant new product introductions as well as solid performances from many established products. I will be mentioning five new brands from the Charles Machine Works acquisition. The first is HammerHead that serves the pipe rehab and replacement market. Recently, HammerHead launched their Bluelight technology, which applies LED light secured pipe liners. This approach is up to five times faster than conventional methods. We also introduced the new family of Toro TRX walk behind trenchers featuring Intelli-Trench that automatically adjusts track speed based on the trenching condition. These innovations represent real advancements in productivity and ease of use that our customers will value. Our additional new construction brands include Ditch Witch, makers of an extensive range of underground construction in skid steer equipment. American Augers and Trencor that provide large scale underground equipment. Radius, a family of aftermarket tools for all sizes and brands of horizontal directional drills. Existing products from the Ditch Witch, Radius, American Augers, Trencor and ProLines are all seeing strong demand. Looking ahead, our construction businesses are planning to introduce a number of new offerings during the International Construction and Utility Equipment Exposition and the Green Industry Expo in October. As anticipated, last winter's above average snowfall in the Midwest helped drive strong bookings of our BOSS, snow and ice management equipment. Demand for the new snow raider has been very strong. Customers appreciate its ability to turn a multi-person job of falling and salting sidewalks into a one person operation. Improved weather conditions helped golf grounds play it break even for June. New products, including the Outcross and the Groundsmaster 1200 continued to perform well in the golf, sports fields, and grounds markets. During the quarter, our products supported three prestigious tournaments. The PGA Championship at Bethpage Black Course in New York, the KPMG Women's PGA Championship at Hazeltine National Golf Club in Minnesota, and the Open Championship at Royal Portrush in Northern Ireland. Like golf, our irrigation businesses have improved retail in July. However, unfavorable weather conditions early in the year forced project delays. While conditions have improved, a number of irrigation projects have moved into fiscal 2020. Weather was also a headwind for our landscape contractor businesses. However, they continue to see solid demands from large national accounts. The new GrandStand and Toro's stand-on continue to sell well, as do our new turf management products. For the residential segment, walk power mower and rider sales were lower in the quarter as a result of unfavorable weather. Strong pre-season snow shipments during the quarter and positive walk power mower sales early in the season generated the small year-to-year improvement. Next, our international businesses enjoyed a good quarter led by the expanded construction line; commercial applicator products, regionalized demand for our golf equipment and irrigation products, plus increased snow thrower order sales. As you can see from the results, we are pleased with the immediate positive impact of the Charles Machine Works acquisition and the results of our integration progress to date. As we head into the fall selling season, we are optimistic about our prospects for successfully closing out fiscal 2019. I will now turn the call over to Renee, for a more detailed discussion of our financial results.
Renee Peterson: Thank you, Rick. Net sales for the quarter were $838.7 million, compared to $655.8 million a year ago, an increase of 27.9%. We also delivered net earnings of $60.6 million or $0.56 per share, compared to $0.73 per share in the third quarter last year. Adjusted net earnings for the quarter were $89.8 million or $0.83 per share versus $73.5 million or $0.68 per share last year. This is an adjusted earnings per share increase of 22.1%. Year-to-date net sales were up 15.6% to $2.4 billion. We achieved net earnings of $235.7 million for the first nine months. This equates to $2.18 per share compared to $2.14 per share a year ago. Adjusted net earnings for the first nine months were $272.4 million or $2.52 per share. This compared to adjusted net earnings of $255.9 million or $2.35 per share last year. This is an adjusted earnings per share increase of 7.2%. For the quarter, professional segments sales were up 40.3% to $676.8 million, led by demand for our construction and snow and ice management products. Year-to-date Professional segment sales were up 20% to $1.9 billion, fueled by demand in our construction, landscape contractor and snow and ice management businesses. Professional earnings for the quarter totaled $81.6 million, down 16.5% from last year. Year-to-date, Professional segment earnings were $319.7 million, down 5.6% from last year. Professional segment earnings for both periods include purchase accounting adjustments related to the acquisition of Charles Machine Works and the impact from our strategic decision to wind down The Toro branded underground construction portfolio. The integration of the Charles Machine Works businesses is progressing well, and our synergies and debt repayment plan are on track. We are pleased by the results to date and are confident that this transformational acquisition will deliver even greater results in the future. Third quarter residential sales decreased 11% to $148.2 million due to weather-related soft demand for walk power mowers and riders relative to an unusually strong demand in the prior year. Year-to-date, residential sales increased by about 1% due to an approved - price realization, solid demand for snow products and walk power mowers sales that occurred earlier in the year. Earnings in the Residential segment for the quarter totaled $16.2 million. Year-to-date earnings were $51.3 million. Moving to our operating results, gross margin as a percent of sales for the third quarter decreased 390 basis points to 31.7%. Adjusted gross margin for Q3 was 35.9%, an increase of 30 basis points from last year. As we anticipated, we are seeing gross margin improvement in Q3 as commodities begin to moderate. For the quarter, pricing and productivity offset the impact of inflation and trade-related costs. In Q3, we also realized the benefit of tariff recovery efforts that previously were expected to occur in Q4. Year-to-date gross margin decreased by 390 basis points to 33.4%. Adjusted gross margin year-to-date with 35.3%. While we prudently manage spending SG&A as a percent of sales did increase for the quarter to 22.9%, due to the acquisition of Charles Machine Works. In addition, overall, SG&A was lower than expected due to the timing of key investments. We continue to anticipate second half SG&A spend to be consistent with prior expectations. Year-to-date, SG&A as a percent of sales is 21.7%. Overall, Q3 reported operating earnings as a percent of sales were 8.8%. Adjusted Q3 operating earnings as a percent of sales were 13.4%. For the first nine months, reported operating earnings as a percent of sales were 11.7% and year-to-date operating earnings as a percent of sales were 14.2%. Interest expense increased by $4.3 million for the quarter and by $6.2 million year-to-date. The increase is due to additional debt to fund the Charles Machine Works acquisition. The reported tax rate for the third quarter was 14.9%. The adjusted tax rate for third quarter was 18.1%. For the first nine months, the reported tax rate was 15.3%. The adjusted tax rate for the first nine months was 19.5%. The Company now expects its full year adjusted tax rate to be about 20%. Accounts receivable at the end of the third quarter were $312.2 million, up 42.3% from last year. Net inventories were $620.6 million, up 70.3% from last year. Trade payables were $304.7 million, up 33% from the comparable period last year. These increases were largely driven by the acquisition of Charles Machine Works. In summary, Q3 was a good quarter. I will now turn the call back to Rick to discuss our outlook.
Rick Olson: Thank you, Renee. Fiscal 2019 has been a good year for Toro through three quarters and we are confident that our businesses are well positioned to successfully close out the year. First, construction sales have been strong to date and we have a solid order base for the fourth quarter. The integration of the Charles Machine Works businesses is going very well. In late July, we hosted the annual meeting of Ditch Witch dealers from around the world at our corporate headquarters in Minnesota. Dealers were enthused by the new business strategy announced during the event. The strategy significantly broadens the dealer product portfolio, having large horizontal directional drills and trenches produced by American Augers and Trencore. The new strategy increases dealer scale, making them more competitive and able to serve customers at an even higher level. This positions the Company for a strong growth well into the future. We’ll be launching innovative new products for both our dealer and rental markets at the major trade shows this fall. A new five year forecast just released by the American Rental Association, projects rental revenues to continue to climb and surpass the $71 billion mark by 2023. We are pleased with our strong position in the rental underground and specialty construction market and the opportunities for a substantial long term growth. Turning to our Snow and Ice Management business. Our BOSS team has seen record pre-season bookings. With favorable fall weather and winter snow, this should result in outstanding sales for the season. BOSS is known for innovative and high quality products, as well as the exceptional customer service our best in class dealers provide. New introductions in the truck industry suggest increased prospects for snow plough and ice removal sales. Next, our golf equipment business should see modest improvement during the fourth quarter as more favorable weather conditions are bringing golfers and revenues back to the clubs. We hope to see fourth quarter equipment retail return to more normal seasonal levels as courses respond favorably to our latest innovations. While the number of golf irrigation projects have been - while a number of golf irrigation projects have been postponed until 2020, the launch of the Lynx 7.0 Central Control System later this fall should generate strong interest. Lynx 7.0 provides customers with industry leading precision and control. Such customer valued innovation will help maintain our market leadership in golf irrigation. Fall, traditionally brings retail opportunities for our landscape contractor businesses. We have announced new fall retail programs targeting acreage owners that are generating a positive response. Our productivity boosting GrandStand Multi Force platform will be even more versatile with the launch of detacher and aerator attachments. Productivity is critical to contractor success and is a key selling point of our entire landscape equipment line. Our Residential business also sees opportunities in the fourth quarter. In May, we launched our 60-volt Flex Force line of lithium-ion battery powered products, including a full featured Toro Recycler mower, a powerful trimmer and blower as well as new single stage snow blowers. Customer demand and product reviews of the line have been strong. The Flex-Force snow blower and redesigned gas-powered power clear line should further extend our leadership position in snow. Finally, our international businesses are expecting - experiencing broad acceptance of our recent product introductions, including the Groundsmaster out-front and Toro rotary mowers, new electric and battery powered greensmowers and the revolutionary Outcross. Our international team is also preparing to launch the new 60-volt Flex Force line and to expand our leadership position in zero-turn riders with the additional models featuring our popular MyRIDE Suspension. All said, we are well positioned to close out here in a positive way. We now expect full year revenue to exceed $3.1 billion and have narrowed our adjusted net earnings per share guidance to be about $2.92 to $3 from about $2.90 to $3. We will give full year guidance for fiscal 2020 during our next call in December. As we drive to deliver a successful year, we will remain focused on our strategic priorities and be prepared to respond to changing market conditions. I want to thank our employees, distributors, dealers and channel partners around the world for their commitment and hard work. Together, we will finish the year strong and set the stage for a successful 2020. This concludes our formal remarks and we will take questions at this time.
Operator: Thank you. [Operator Instructions] And our first question comes from David MacGregor from Longbow Research. Your line is open.
David MacGregor: Hi. I guess to just a start, you know, when you provided guidance for the third quarter, you would call the $0.70 to $0.75, you posted a $0.83 today. I guess, can you just bridge us kind of the upside you saw versus your expectations and what the biggest deltas were?
Renee Peterson: Yeah, I think what we saw is really strong gross margin performance within the quarter, and we saw price and productivity offset costs related to either the tariffs or general inflationary costs. We did see commodities moderate and really solid execution by the Toro team. We had expected gross margin to improve as we went through the second half, but we did see a little more improvement in the quarter and in particular related to some due to recovery that originally we thought we would recognize in Q4 and we were able to recognize that in Q3. That would be just one thing that would be a little bit different as we look through the remainder of the year. That would be probably one of the biggest factors as well as just continuing to manage expenses prudently, as we always do. We're a company that has to deal with sometimes variability between quarters and we always encourage people to look a little longer term. And we did see some benefit from some specific SG&A investments. That did not occur in Q3, but we would still expect them to occur for the year assuming the rest of the year progresses as planned. So we’ve included all of that in our guidance as well.
David MacGregor: Okay. And you lowered your full year revenue guidance, you had previously been talking about a mid-single digit organic growth within that. Is that kind of the low-single digit now or is there any Charles Machine Works reductions in that guidance?
Rick Olson: Yeah. There would be no Charles Machine Works reductions in that guidance, and our guidance for the fourth quarter really reflects, in addition to some of the timing things that Renee referred to. The fact is there has been a difficult retail environment and it still is somewhat of a soft retail environment. We do have programs out there to spur retail growth, but we want to make sure we see some data points on those before we conclude their effectiveness. And then in the fourth quarter, we will also - from an earnings standpoint, experience some higher manufacturing variance as we make sure that we right-size the inventory by the end of the year, and that's really a balance of the production levels within our plans and the other factors that we would bring in as well.
David MacGregor: Okay. Just last one from me. You called out the cost associated with the wind down of the horizontal drill and trencher lines. Were there any associated revenue headwinds from that transition in the quarter?
Renee Peterson: Not within the quarter. It's fairly minimal overall, the wind down in that business, but we didn't see an impact just based on the timing of when we made that announcements for the quarter.
David MacGregor: All right, perfect. Thank you very much for answering my questions.
Renee Peterson: Thank you.
Rick Olson: Thank you.
Operator: Thank you. And our next question comes from Tom Mahoney from Cleveland Research. Your line is open.
Tom Mahoney: Hi, good morning. I wanted to ask more, about - just sizing the moving pieces inside of the inventory at 70%, what is the contribution of Charles Machine Works inside of that number?
Renee Peterson: Yeah, Tom, from an EPS perspective or from a revenue, I'm sorry, I didn't hear that...
Tom Mahoney: Within the inventory number of 70% year-over-year, how much of that is -- is kind of purely just having Charles Machine Works this year versus last year?
Renee Peterson: Yeah. The vast majority of all of the working capital increases are driven by Charles Machine Works, and that is certainly the same from an inventory perspective. As Rick had mentioned, we did see some increase in our inventory in our legacy business. Part of it, we had discussed in the prior call was to make sure we were a good supplier and that we could also manage some of the supplier issues. And we had better product availability and certainly did a better job in managing supplier issues in the quarter. As we go into Q4, as Rick mentioned, we will ensure that we're looking forward and adjusting those inventory levels as we close out the year and that's why we've included a little bit more manufacturing variance in our overall estimate, really, as we reduce ours to address inventory.
Tom Mahoney: And do you expect those to be across the Pro business as well as the Residential segments or is it focused in one or the other?
Renee Peterson: I would say, you know, it's probably across the board. Some of our products are built in a shared production environment, so it's not specific to one versus the other.
Tom Mahoney: Okay. My other question relates to price realization. So inside of the kind of core legacy Toro revenue growth in 2019, can you give us some least directional guidance on how much price contributed there and then your initial expectations for what 2020 could look like in terms of raising price?
Renee Peterson: Sure. So from an overall standpoint, what we've stated in the past is that Toro typically recognizes or realizes about one or two points of price realization, more of that in the Professional business than in the Residential business. In this particular year, we knew that price was going to be a bigger component and we would say it's probably varied by business, but it's probably about double the normal range that we would see. And as we look forward for next year, we’re still working through our plan, but we would not expect to see the same increases from a price standpoint that we saw within 2019. We would expect that to moderate. We always price to market, not to cost, but certainly the cost environment drove some of the price increases that we saw across the industry in 2019.
Tom Mahoney: Understood. Thank you.
Rick Olson: Thank you.
Operator: Thank you. Our next question comes from Sam Darkatsh from Raymond James. Your line is open.
Unidentified Analyst: Good morning. This is Josh filling in for Sam. Thanks for taking my questions.
Rick Olson: Good morning, Josh.
Unidentified Analyst: A couple of housekeeping items for me first. What was the split of the charges in the quarter between the segments?
Renee Peterson: For the one time charges?
Unidentified Analyst: Yes.
Renee Peterson: What you can see is consistent with how we reported in the past. In the Professional segment, you’ll see the impact of the purchase accounting for the inventory step up intangibles, those are all in the Professional segment. And then primarily within the other segment, you would see more of the SG&A related charges, the transaction expenses which were minimal in the quarter and then acquisition integration expenses would be in the other segments.
Unidentified Analyst: Got it and Charles Machine Works sales in the quarter?
Rick Olson: Yeah. We don't break that out, that will be part of Professional segments, but just to give you some guidance on that, if you think about the run rate for Charles Machine works, we talked about the business as being - similar to our Professional businesses. So in the mid single digit sort of range and they have been beating that run rate basis. So we're pleased with the sales so far from Charles Machine Works and they've certainly contributed.
Unidentified Analyst: Got it. And then regarding your gross margin guidance, I noticed in the slide you removed the commentary of that, you expected to do year-on-year improvement in the back half in all businesses. Am I reading too much into that? Or was -- were there certain businesses there may be underperforming your margin expectations previously?
Renee Peterson: No, I think it's more of just a generalizing the comment versus being a specific. I think we still expect to see gross margin improvement as we close out the year, it's a small quarter and so there always can be some adjustments that occur. But there was nothing dramatic that is changing overall.
Unidentified Analyst: And given that you realize the tariff offsets earlier, would it be fair to say that your gross margin expectations for the second half are higher than they were before or were there inventory cuts you talked about also incremental to your prior expectations?
Renee Peterson: Yeah. The tariff recovery of the duty recovery actually is an item that we had planned in Q4 and we recognized the true up of that in Q3. So that actually would decrease the gross margins for Q4 as well as the manufacturing variance would reduce the gross margin in the quarter as -- we end the year. However, we still expect gross margin for Q4 to improve year-over-year. So we're still expecting to see acceleration of improvement, we saw in Q3 just some timing differences that were recognized in Q4.
Unidentified Analyst: Got it. Thanks.
Renee Peterson: Thank you.
Rick Olson: Thank you.
Operator: Thank you. Our next question comes from Tim Wojs from Baird. Your line is open.
Tim Wojs: Hey, everybody. Good morning.
Renee Peterson: Good morning.
Rick Olson: Good morning.
Tim Wojs: I guess maybe just, you know, Rick, as you kind of look at - I know you're going to take down some -- a right size in production in the fourth quarter -- to control your own inventories. But I guess, what would you need to see at retail to kind of be comfortable that -- inventory in the channel doesn't kind of go into next season at a higher level?
Rick Olson: Yeah. We actually feel good about our field inventory at this point. If you take the season so far and the challenge that has been there for the entire market with the start of spring being late and pretty terrible conditions through the bulk of summer, we adjusted our production and responded appropriately. So we have some categories that are a little bit higher than we'd like to see at this point in the season. But also there is opportunity yet to sell through the rest of this year so, that's where our focus is. And we have some signs that weather patterns are improving and in some cases, if we have a slow spring in some businesses, that could mean opportunities for the fall, if the grass continues to grow during the summer. And it was not a drought. So there is a lot of moisture in the system and that kind of bodes well for good response this fall for .We just have in the data points, yet to be able to be confident in that, yeah.
Tim Wojs: Okay. That sounds good. Thank you. And then as we think about that, the synergies for Charles Machine Works and just that the realization, now that you're kind of in a six months in - I think initially $30 million of synergies and I think that the idea was you recognized that ratably over three years. Any change to that timeline now that you've kind of been in the business and have started to make some changes?
Rick Olson: Yeah. We did say $30 million, and I can say a few things. We are far more confidence in the $30 million than we were when we reported that initially. We have had tremendous progress with the team, the cross-functional team as a stellar group, and they are making great progress with the synergies. And we've identified synergies that we would say are ahead of track. Those are not fully realized yet, so we'll give a more full report at the end of the year. But I would describe them as we're confident in the numbers that we've provided. We are on track or ahead of the track, but we just haven't seen those within our operations yet. One thing I would also add is the partnership with Bean Consulting has been extremely helpful to us from just the process that they brought to the table. So we have a very strong team from both Charles Machine Works and Toro in combination with a very strong team from out side partners that's helped us with benchmarking and helped us to execute very quickly on the opportunities.
Tim Wojs: Okay, great. That's helpful. And then I guess as we look forward into 2020 or just made more normalized basis, free cash flow historically has been closer to 100 or maybe slightly better than 100. I know there's some variances this year, but is that still kind of a similar kind of normalized expectation for free cash flow?
Renee Peterson: Yeah, I think as we look forward, you would expect that to be over time. Each year can vary. We'll get more specific guidance as we go into 2020, related to the following year. But there's nothing fundamental that's changing. We'll always look, though, at where we can see those opportunities to invest and there are times that we spend a little bit more in CapEx as an example than other years. So we just haven't made those decisions yet for next year, but over time you would expect us to return to that profile of about 100% conversion.
Tim Wojs: Okay. And then sorry, last housekeeping question. Just Renee, do you have a point number for what the Charles Machine Work inventory increase was year-over-year?
Renee Peterson: We did not break that out specifically, but it was the majority of the increase. I mean, the vast majority of the increase is related to Charles Machine Works.
Tim Wojs: Okay, okay. Thanks for the time, appreciate it. Good luck on the rest of the year.
Renee Peterson: Thank you.
Rick Olson: Thank you.
Operator: Thank you. Our next question comes from Joe Mondillo from Sidoti and Company. Your line is open.
Joe Mondillo: Hi, good morning, everyone.
Renee Peterson: Good morning.
Rick Olson: Good morning, Joe.
Joe Mondillo: Just wanted to first confirm on the EPS guidance. Just wanted to make sure that the new guidance versus the prior guidance is sort of apples to apples in terms of how you adjust for one-time items?
Renee Peterson: Yeah, it would be apples to apples. The only difference at all, Joe is that during Q3 we recognized the impact of the decision to wind down the construction business from a Toro perspective and we have included that as the item that we adjust out, that actually happened in the quarter. So that would be really the only difference that you would see. So, I think you should consider them to be apples to apples. That's our intent.
Joe Mondillo: Okay, great. And then I'm just trying to -- I know you don't want to necessarily maybe quantify, but the core Professional segment, could you give us a direction -- the CMW obviously acquisition makes up such a big contribution. Where is the growth going relative to -- I know the second quarter was hampered by the markets and the challenges that you've seen. Is there any way you can provide any more detail on what sort of growth you actually saw on the third quarter?
Rick Olson: Sure Joe. From a legacy Professional standpoint, that business has also been strong for the year, especially given some of the field challenges from a market standpoint. And if you take that portion of the business on its own, we would have had earnings per share growth with those businesses. So it was good. I mean, a couple areas I would specific -- specifically call out BOSS is having a tremendous year coming off of strong snow season. Last year they had record pre-season bookings and great response to the new product. The Snow Raider that came from a previous acquisition L.T. Rich has had tremendous response, site works, the introduction of the TXL 2000 much higher capacity compact utility loader has been very strong. So our traditional legacy Toro business is also moving along very nicely.
Joe Mondillo: Is it over the last two quarters, in the second quarter and third quarter, that fair to say that growth has been a little sub-average, just given all the challenges that you've seen with weather?
Rick Olson: As you know, I think we're in the range that we historically have been in. As we got into the weather, maybe you see that obviously in our revenue numbers. So the revenue did come off a little bit. I think that's the natural outcome of market conditions. But I think the positive thing is the Toro Company has been -- there's been a weather impact for the entirety of the history of the Company. And our teams know how to respond in those situations. So it's the expense management and those types of things that Renee talked about, that are just part of our D&A. But I think the team responded well to the conditions, drove as much sales as possible and then managed our SG&A and expenses appropriately.
Joe Mondillo: All right, and I just wanted to confirm Renee, in terms of the one time items you pointed out that the -- I think it's the $29 million of acquisition-related costs, none of that hit in the Professional segment?
Renee Peterson: The $29 million related to -- I'm sorry, Joe.
Joe Mondillo: Acquisition related costs. I thought you said that, that was in the corporate line, but that seems extremely large for it not to hit the Professional.
Renee Peterson: No. Let me clarify, please. So for the Professional segment, you would see the impact of the inventory step-up and all of the intangible amortization that would go through the Professional segment, as well as the impact from the wind down of the underground Toro business. That would all go through Professional. What I intended to say, if I didn't say correctly in the other segment, that's where you would see the acquisition integration cost. So some of that more in the SG&A areas as well as the transaction costs, and the transaction costs were primarily earlier in the year. There might have been a little bit that went through this quarter, but it's mostly acquisition integration that you would see in the other segments in this quarter.
Joe Mondillo: Okay. And I don't know if you break -- I didn't see that broken out in the press release, but you have to -- how much was that hits the corporate or the sort of the SG&A line, just curious and...
Renee Peterson: Yeah. We didn't break that out specifically. We did add a little more detail on our statement of cash flow related to some of the step up and intangible amortization. That might be helpful.
Joe Mondillo: Okay. So when I look at the reconciliation table, you have $29 million and then a $9 million item. Most of that is in the Professional segment?
Renee Peterson: Most of the difference in the adjusted versus reported gross margin would be in the Professional segment. Most of the SG&A is in the other segments.
Joe Mondillo: Okay. And then I wanted to ask about the Residential margin that you saw was pretty strong. It was one of the strongest that we've seen in over a year. What drove that and is that sort of anywhere sustainable or how you think about that?
Renee Peterson: Yeah, I know they did have a good quarter. I agree with you. And a piece of it were the items we talked about earlier starting to see some commodity moderation. They did have price realization, which, as you know from our past discussions is really a challenge within the residential segment. However, a fair amount of the duty recovery that we saw in Q3 that we originally planned in Q4 would have related to the residential segment. So that piece would not repeat as we go forward. It was really a true up of some of the duties that we had seen year to date.
Joe Mondillo: And can you quantify that for us?
Renee Peterson: Yeah. I could say between -- from a timing standpoint overall, between the duty recovery and SG&A timing -- it would be several million dollars and roughly it's about 50-50 -- I mean roughly about the same.
Joe Mondillo: Okay. And then just lastly, just wanted to confirm when you said the tax rate, 20%, is that the adjusted tax rate for the year and how do you think about tax rate for the upcoming year?
Renee Peterson: Yeah, that would be the adjusted tax rate for the year. I mean, we would expect the tax rate now that we've gotten through some of the tax reform and associated guidance with that, to continue in roughly the same level. However, I will say every year we do have some discrete items and we saw a little bit of that this quarter as well, those are very difficult to predict and cause a little bit of volatility in the tax rate. But, we feel like we've at least gotten all of the tax reform impacts included going forward now. And we had a full year at the lower rates from a U.S. standpoint.
Joe Mondillo: Okay, great. Thank you. Appreciate it.
Renee Peterson: Thank you.
Operator: Thank you. And our next question comes from Tom Hayes from Northcoast Research. Your line is open.
Tom Hayes: Thank you. Good morning, everyone.
Rick Olson: Good morning Tom.
Renee Peterson: Good morning.
Tom Hayes: Hey Rick, just kind of broadly speaking, on the new 60-volt battery mower line, it seems like, it was a good start to that product offering. Is your further excuse that you can add to that going forward or is there kind of a smaller limit to the number of motors you can bring to market with that battery power?
Rick Olson: Yeah, we -- right now we have a really nice package if you think about the walk power mower, the blower, the trimmer and now the snow thrower, and the reports from performance of all those products are very good. The thing I would point out, especially with the mower is that it's a bit different experience than some of the other battery products that are our there because, you pick up the features of our walk power mower that are found on the gas products as well. So you have the personal pace features and it really gives you a more full experience -- Toro experience than some of the other products that are around the market. So customers have really responded well to that. The reviews are good. Our dealers, in fact are doing very well with it. The only thing that has been a challenge is that was more of a midyear introduction. So we probably won't see the full impact until the spring of next year.
Tom Hayes: Okay, great. And then maybe on the Charles Machine Works, I think you indicated that the rental association came out with better than -- good outlook for that market. Does the Charles Machine Work sell into the rental equipment market, if you could just remind us of that?
Rick Olson: Yes, they do. Particularly on the -- what they call the mini skid steer line, similar to our compact utility loaders, the Dingo line under the Toro brand name. And then they also have trenches and other rental products trenches being one of the larger categories that would sell into rental. So rental is a significant portion of their business.
Tom Hayes: Okay. And then I guess just for Renee, as far as the uses of cash, I know you guys temporarily put a hold on the share buyback to focus on debt repayment. Is the expectations that will continue at least for the next couple of quarters?
Renee Peterson: Yeah, we will -- we've paid down to date about $300 million in debt overall. And we'll continue to focus on that. But we'll look at -- we'll continue our focus on capital investments internally as well. But we would expect that at least for the next quarter or so, we'll probably focus on debt repayment. Beyond that, we'll give some guidance as we go into 2020 and what our capital allocation priorities will be.
Tom Hayes: Great, thanks for the color.
Renee Peterson: Thank you.
Rick Olson: Thank you.
Operator: Thank you. And we do have a follow up from Joe Mondillo from Sidoti and Company. Your line is open.
Joe Mondillo: Hi, everyone. Just a couple minor items that I just wanted to ask about. The expectation on D&A including the purchase amortization going forward. Just wondering what sort of run rate would be?
Renee Peterson: Yeah, we didn't specifically give guidance on that. What we did do Joe, is to try to help because we recognize it is a substantial change year-over-year, it's on the statement of cash flow. We try to at least break out to see -- you could start to see the full quarter. Impacts of D&A, most of the step up in the inventory we'll see for this year, most of that will be work through by the end of the year. And some of the intangible amortization certainly have longer lives than that. But you get back to a more normal level after we get through that inventory step up is the big change year-over-year.
Joe Mondillo: So I think you broke that out on the cash flow already, so I think D&A was $19 million or so for the quarter. Is that a normalize level?
Renee Peterson: No, I think well, I think we broke out the PP&E depreciation as well as then the intangible amortization and then the inventory step up. I would say that the intangible amortization, if you look at it that's there -- those will probably continue roughly at that rate and depreciation and amortization does move around a little bit, but it is probably more constant as well.
Joe Mondillo: Okay. And then I was wondering about sort of one-time costs that's going to hit the P&L in fourth quarter and if you expect anything in fiscal '20?
Renee Peterson: Yeah, in fourth quarter, those continue to be some integration related costs. Not a huge magnitude, but there will be some integration related costs on an ongoing basis as we work through, as Rick was talking about to put the plans in place to execute on the synergies. We still have more work to do in that arena. As we look forward to 2020, we'll give that guidance as part of 2020, but we'll start to see some of those costs start to ramp down as well.
Joe Mondillo: Okay. And then lastly, the non-operating income line has been trending higher than last year. Just wondering if there's anything else in there beyond the financing arm or how can we think about that, I guess just wondering about that?
Renee Peterson: So certainly Red Iron, which is a joint venture that you mentioned is the biggest portion of that. But there are some integration related, not operating items that we were able to complete in the quarter that did yield a benefit. We wouldn't necessarily expect those to continue at the same rate, but there were some early items that we we did manage to close out and we consider them non-operating.
Joe Mondillo: Okay, perfect. Thanks a lot.
Renee Peterson: Thank you.
Rick Olson: Thank you.
Operator: Thank you. And I am showing no further questions from the phone lines. I'd like to turn the conference back over to Heather Hille for any closing remarks.
Heather Hille: Thank you for your questions and interest in The Toro Company. We look forward to talking with you again in December to discuss our results for the fiscal year and provide our outlook for fiscal 2020. Thank you.
Operator: Ladies and gentlemen, than you for participating in today’s conference. This does conclude the program you may all disconnect. Everyone have a wonderful day.